Operator: Good morning, everyone. Thank you for holding, and welcome to America's Car-Mart's Fourth Quarter 2016 Conference Call. The topic of this call will be the earnings and operating results for the company's fiscal fourth quarter 2016. 
 Before we begin, I would like to remind everyone that this call is being recorded and will be available for replay for the next 30 days. The dial-in number and access information are included in last night's press release, which can be found on America's Car-Mart's website at www.car-mart.com. 
 As you all know, some of management's comments today may include forward-looking statements, which inherently involve risks and uncertainties that could cause actual results to differ materially from management's present view. These statements are made pursuant of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. The company cannot guarantee the accuracy of any forecast or estimates, nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see Item 1 of Part 1 of the company's annual report on Form 10-K for the fiscal year ended April 30, 2015, and its concurrent and report -- quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q. 
 Participating on the call this morning are Hank Henderson, the company's Chief Executive Officer; and Jeff Williams, President. 
 And now I'd like to turn the call over to the company's Chief Executive Officer, Hank Henderson. 
William Henderson: Good morning, everyone. Thank you all for joining us. As you saw in our press release, we did see a solid increase in revenue for our fourth quarter. While a portion of that did come from an increase in our average sales price of $634, we did see a gain in unit sales of 5.5% for this quarter over the same time last year. We're particularly pleased with this increase, as a good portion of that was among our older, higher-volume dealerships where we had been seeing a decline. So that is very positive. And Jeff is going to give some more specifics on that in just a moment. 
 Additionally, that increase is noteworthy as we did so with some more stringent underwriting as compared to the same time last year. As we mentioned on previous calls, we have rolled out our new underwriting system last October, and that has likely cost us a couple of hundred sales per month. So the fact that we were able to grow unit sales year-over-year with that in place makes it particularly satisfying as we can have confidence that these increases were realized right away, and we should have better overall quality for loans and not just more quantity. 
 Unfortunately, with the higher wholesales and repair expense, our gross margin was down for the quarter and our credit losses were up a couple of points. So the improved sales results did not all translate to better bottom line results. 
 So I am going to go ahead now and turn it over to Jeff to give you more detail on our recent results here. 
Jeffrey Williams: Thank you, Hank. Total revenues increased 12.5% to $155 million, with same-store revenues up 7.8%. Certainly pleased to see that our stores in the 10-plus-year category is up over 10%. Stores in the 5- to 10-year category was up around 2% and then revenues for stores less than 5 years old was up about 31% to $37 million for the quarter. The overall average retail units sold per month per lot for the quarter was 28.2, up from 28.1 and up from 25 sequentially. At the end of the quarter, 42 or 29% of our dealerships were from 0 to 5 years old, 23 or 16% were in the 5- to 10-year category and the remaining 78 were 10 years old or older. 
 Our 10-year-plus lots produced 30.3 units sold per month per dealership for the quarter compared to 28.9 for the prior year quarter and compared to 26.8 for the third quarter. Our lots in the 5- to 10-year category produced 27.4 units compared to 28.9 for the prior quarter and 25.7 for the third quarter. And our lots in the less than 5-year-age category produced 24.6 compared to 25.4 for the fourth quarter of last year and 21.4 for the third quarter. 
 As Hank mentioned, the average selling price increased $634 or 6.3% compared to the prior year and increased $42 or about 0.4% sequentially. The increase from the prior year relates to an increase in overall selling prices as we improved the quality of our vehicles along with the productivity improvements we saw with our older dealerships. 
 Also we're selling more trucks and SUVs, which are in high demand and, for the most part, carry higher selling prices. We remain hopeful that, at some point, we will see overall decreasing wholesale prices, giving us an opportunity to buy a better, more affordable car for our customers as we move forward. But certainly, purchase prices in our markets continue to be elevated, especially for trucks and SUVs. We currently anticipate some increasing overall sales prices out into the future, but we will try to minimize those increases and focus our efforts on keeping our payments affordable. 
 Our down payment percentage was 8.4% compared to 9% for the prior year. Collections as a percentage of average finance receivables was up to 16.8% from 16.7% for last year's fourth quarter. Our average initial contract term was up to 29.7 compared to 28.3 months for the prior year quarter. That's up 1.4 months and up from the third quarter's 29.3 months. The increase relates to the higher average selling price and, again, for the productivity increases for our older dealerships. 
 Our related average contract term for the entire portfolio, including modifications, was 31.6 months, which was up from 30.2 at this time last year and up from 30.9 months sequentially. The weighted average age of the portfolio was 8.4 months at the end of the current quarter, which was flat with last year and down slightly from 8.6 at the end of the third quarter. 
 Due to the increasing selling price and for competitive reasons, our term loans may continue to increase some in the future. But as always, we're committed to minimizing any increases. We will always be committed to our goal of ensuring that the term length and the useful life of the vehicle are in alignment, and we will put our customers in good vehicles. 
 Interest income was up $946,000 for the quarter due to the $21 million increase in average finance receivables, and we did have one more day in this quarter than we did last year. The weighted average interest rate for all finance receivables was approximately 14.9%, which is flat with the prior year. 
 For the fourth quarter, our gross profit margin percentage was 38.7% of sales. That's down from 41.5% for the prior year quarter and down sequentially from 40.3%. The reduction relates to higher wholesale sales and losses and higher repair expenses, some of which related to wholesales, higher losses under our Payment Protection Plan product and the effect of selling a high-priced vehicle. Also our continuing efforts to improve the quality of our inventory and improve inventory terms and efficiencies had a negative effect for the quarter, but will benefit us as we move forward. We have very aggressive targets in place for inventory quality, repair costs and inventory terms and stale inventory and expect to get the overall gross profit percentage back above 40% soon. 
 When we look at all the efforts we put into finding the very best, affordable vehicles for our customers, we pass on a lot more cars than we buy. We're taking care of these cars, merchandise and then support our 2 [ph] add-on products. We really need to get the gross margin percentage back up above 40% and all efforts are in place to make that happen. 
 For the quarter, SG&A as a percentage of sales was 16.7% compared to 17.2% from the prior year quarter. A $2.1 million increase in overall SG&A dollars related primarily to the higher payroll cost and other incremental costs related to the growth in the average number of stores of 7 and infrastructure costs to support our growth. Total expenses were down about $250,000 from the third quarter. We believe that we have a very lean but effective cost structure. And we will continue to leverage the investments we've made as we move forward. At the same time, we remain mindful of how important it is in this high-touch business to ensure the infrastructure is solid and will support our customers before and after the sale in an effective manner. 
 For the current quarter, net charge-offs as a percentage of average finance receivables was 9%. That's up from 7.8% for the prior year quarter. The increase resulted from an increase in frequency of losses, which was about an 80 basis point effect, together with an increase in the severity of losses, about a 40 basis point effect. Once again, the higher severity of losses resulted from lower wholesale values at repo. Our wholesale value recovery rates continue to come under significant pressure. Our recovery rates for the fourth quarter were close to 23%, which is up slightly sequentially from 22%, but still historically low and well below what we saw during the low point of 2010. 
 Additionally, we did repossess more vehicles, and those cars that we did take back were worth less as coupes and sedans and basic cars are not bringing much money at the wholesale market. The increase in losses was more concentrated in our older dealerships due to a couple of things. Number one, we believe that the competitive landscape was, believe it or not, even more intense this year during income tax refund time when more people might qualify for car loans. We can speculate that some lenders were working hard to hit volume goals. Additionally, in hindsight, last year, we may have been a little too optimistic that we could save accounts by the end of tax season. Initially, we were more conservative with our approach. And number two, at this time last year, we were in the depths of our software conversion, which did result in some delays in having visibility, which resulted in losses shifting to the first quarter of this year. 
 On a positive note, we did finish the year with our lowest 30-plus delinquencies, about 3%, in the last 5 years. So we've got about $11 million less in 30-plus at the end of April than we had at this time last year. And our delinquencies in the less than 30-day categories were at historical low points at just over 10% compared to 15% this time last year. That's about 20 -- $21 million less. Now some of that does relate to the fact that equivalent end of the year ended on a Saturday, so there is a day of week effect there, but still a big reduction in the -- all delinquency categories. 
 Lower delinquencies, combined with a higher-quality car, should set us up for better credit results down the line. What happens on the competitive side is hard to guess, as competitive pressures, both at the point of sale and at the default point, continue to be very high. Hank will get into a few more details and discuss expectations on credit losses in a minute. 
 Principal collections as a percentage of finance receivables, again, 16.8% compared to 16.7% for the quarter, so a good improvement there. The increase mostly related to lower delinquencies, better tax fund collections this year, the extra day, offset by an increase of the average churn rate. The average percentage of cash receivable current for the quarter was 80.5%. That's up from 76.6% for the fourth quarter of '15. We will continue with good solid expense management, and we're very pleased with the leveraging we saw during the quarter. 
 Over the last 12 months, we've added 6 new dealerships and increased finance receivables by $20 million, repurchased over $14 million in common stock, completed significant infrastructure investments, all with about a $5 million increase in debt. We did pay down about $15 million of debt during our fourth quarter. At April 30, 2016, our total debt was right at $108 million. We did repurchase 151,000 shares for $3.7 million during the quarter. Our current debt-to-equity ratio is 47.2% and debt to finance receivables ratio is 24.7%, extremely healthy balance sheet. We did have $61 million in additional availability under our revolving credit facilities at the end of the quarter. 
 As we mentioned in our press release, we have decided to increase the interest rate we charge on our retail installment contracts to 16.5% from 15%. We had been studying this issue for some time now, and we were hopeful that credit losses would trend back down as competition became more rational. That has not happened and as a result, we need to make the adjustment to support the business and continue to service our customers in a manner they deserve. Also as mentioned in the press release, we did close 4 dealerships toward the end of the year, 2 in Texas, one in Arkansas and one in Oklahoma. Accounts have been transferred to nearby dealerships and will be serviced at a high level. These were smaller dealerships with limited growth opportunities. 
 And one final note. As we mentioned on our last call, the CFPB did finish their fieldwork for the review of our compliance management system at the end of February. And as is consistent with what we reported last quarter, they've not notified us of any material issues with our compliance management system which would require us to significantly change the operational processes. 
 Now I'll turn it back over to Hank. 
William Henderson: All right. Thanks, Jeff. The competition was particularly fierce in the recent tax refund time months, and we know this was a contributing factor to our increased credit losses. A very positive point with regard to our collections, as Jeff has already mentioned, is that we did in the year with our 30-plus delinquencies at the lowest point they've been in over 5 years. We finished at 3% on April 30 as compared to 5.8% for the same time last year. And as credit losses may have been on the rise for some time, we've stepped up our efforts in collections in every regard throughout the year. We've had increased trainings and turnover reduction of our accounts reps, better reporting, monitoring and increased oversight. That is a very significant accomplishment, and we are seeing some positive results from that in the current month. With these positive results in delinquencies, combined with our improvements in underwriting and inventory, we do expect to see improvements in our credit loss results going forward. I'm also pleased to say that we're in the process of getting our GPS system fully integrated into our own operational software, making it much more user-friendly and seamless, so we should see some increased efficiencies in the use of this tool as well. 
 On our last call, we had announced we've created a position of Field Operations Officer, naming Leon Walthall to that position. We also added the role of President for Jeff. And additionally, during this last quarter, we did make some changes and did some restructuring at our Regional VP level. All of those are now fully in place in their new positions. And throughout this past quarter, each of these individuals has gotten their feet under them in their new role very quickly, and they're all making a positive difference. 
 Though just as we greatly stepped up our focus and improved our results with collections throughout this past year, we likewise have put significantly increased focus on our repair expense. During this past quarter, we rolled out some new reporting that gives our area operations managers greatly improved visibility on every expense on a daily basis so that we can be much more aware and responsive to any issues in that area. Improvements in the repair expenses can really move the needle for us in a big way. Being tight with every penny and being a low-cost operator has long been a very big part of our culture and we do think we may have lost a little bit of that along the way as we got bigger. So everyone here is committed to revitalizing that very important aspect of who we are and how we got where we are. And we are confident that we will see some positive results throughout this upcoming year in this area. 
 This past year, we did open 6 new dealerships, closed 4, so that does put us at a total 143 today. Our plan is to grow the profitability back to a level that's much more in line with our capability, provide our future general managers the best training possible as they're getting some additional experience under their belt and then we'll return to opening new stores. 
 Well, that concludes our prepared remarks, and we would now like to move on to your questions. So operator? 
Operator: [Operator Instructions] Our first question comes from the line of JR Bizzell from Stephens Inc. 
John Bizzell: So looking at the revenue, it came in ahead of expectations. And you saw a nice pickup, and I think, Hank, you even referenced it was the older stores. And just wondering there, you saw a nice kind of cars per month increase. Just wondering what changes you saw there, what kind of trends you continue to see. And I know you said the very competitive nature of that older store kind of getting the higher-end customer leaving for the auto dealerships. Just wondering, even with that pressure, kind of what you all did that increased sales sequentially at the older stores. 
William Henderson: Well, I think there were several things. And one -- and we certainly talked about it on our last call, I think we have made some changes with our inventory throughout this past year. Jeff mentioned that in his comments earlier. We've really put a lot of focus on better inventory and having the right mix. And we were up a little bit with our trucks and SUVs and so that certainly made a difference. And truthfully, with a lot of these older stores, these are some managers that have been around a long time with certain way of doing things. And I think that there's -- there was -- there's been an education period, they've had to adapt. And I do think that this past year, a lot of them are learning how we have to be a better retailer of cars and more competitive in that regard and more aggressive when it comes to keeping our good customers and focusing on that repeat business. So I think all those things combined made a positive difference. 
John Bizzell: Great. And then kind of building on the interest rate change that you all are going to implement and I don't know if it -- when it was implemented. I'm guessing it started the most recent quarter. Kind of building on that, did you test that in the markets? I'm sure you did. And then secondly, kind of what your expectations on volumes? Do you think it will affect the kind of the volumes that you're seeing trending up that we saw in this last quarter? 
Jeffrey Williams: We're going to implement that change at the end of May. Next week, that change will go into effect. And we've been looking at that issue for quite a while now. We are aware that most of our competition is 20% or higher on that interest rate. We've been below market for a while because we felt like our credit losses supported that lower rate. So we've been looking at this for quite some time. And at the end of the day, this increase still keeps us below market to reward our better customers. And from a profitability standpoint, giving us the ability to keep investing in the business and supporting our customers. We just felt like, at this point, we needed to make a slight adjustment to that rate. 
William Henderson: Yes, and your question regarding the volumes, obviously, when you make a change like this, we involve our managers, get a lot of feedback. And there doesn't seem to be any concern whatsoever that this is going to affect volumes. Because as Jeff already pointed out, even with this increase, we're still going to be well below market on these. 
John Bizzell: Great. And then last one for me and kind of speaking to the wholesale environment. And I know you saw a slight moderate uptick to the positive this quarter. I'm just wondering about your all kind of comfort level around that. How you all are thinking about it for the remainder of calendar year '16? And then maybe some anecdotes that maybe you're hearing from your kind of wholesale employees. 
Jeffrey Williams: Our expectations are it's not going to get any better. We're working hard to make sure we do everything we can so it doesn't get any worse. And I think that starts with buying a better car and taking care of our customers after the sale in the best way possible. So it really starts with buying a good quality car on that front end, and all the efforts we've had recently in place to get inventory where it needs to be should benefit us all the way through to the point the cars that we do have to take back should hold their value. And we're not expecting to lose any more ground. And we're certainly not expecting anything positive to happen there either. 
Operator: Our next question comes from the line of John Hecht from Jefferies. 
John Hecht: So you guys attributed a few different things to the margins being under pressure. And you cited the fact that you're really hopeful to get it back above 40%. I'm just kind of thinking, what's -- what kind of near-term things can you implement? And how quickly do those have an effect to get you back to 40% margins? 
William Henderson: Well, the 2 big things, and one, as we've mentioned, we'll certainly increase focus on the repair expense. That's a big piece of it. And also lower credit losses. We're seeing -- in the current months we're in, we're seeing some positive results from our lower delinquencies and having fewer wholesales in the mix, that helps with the margin as well. 
Jeffrey Williams: And then just looking at stale inventory and setting some inventory turns expectations. A lot of indirect costs within cost of sales is shuffling cars around and getting cars repaired and working with repair shops. And we're really focused on more inventory turns and better quality, which should help us in a number of ways. 
William Henderson: Yes, I would add, just a few months ago, we aggressively changed our internal policies with regard to our inventories and how long we're going to allow those to sit before they're shuffled around. And that -- we've already seen some benefit from that. And that probably also helps with the sales as well. Fresh inventory does make a difference. We [indiscernible]. People drive by every day, so we'd like to keep that turning. 
John Hecht: Okay. And then second question. Is -- if I heard you right, the kind of inventory cost is a little higher than you want it. It sounded like some of that though was related to just your repair fees and so forth. But then at the same time, your repo, or your recovery rate on your repos, is low. So I wonder if you could juxtapose the difference there on the front end pricing versus the back-end recovery rates and what happens in the middle and what can you do to kind of -- to try to take advantage of lower inventory costs but also capture better recovery rates. 
William Henderson: Yes, it's kind of the worst. Well on our supply side, right now, with all the financing that's available on those, that niche is a lot more desirable right now. And so we do see more of the new car dealers hanging on to some of those because they have some sources to get some of those financed now than they didn't a few years back. And then the other end of the spectrum was the much cheaper cars, kind of that market below us, and certainly the cars have more mechanical problems and all of that. It's also impacted because now that people can buy the nicer car, there's much less demand for those rough low-end cars. And so that end has gone down. So we've really been working [ph] on both sides. And as I mentioned, part of the increase also is as we try to be more selective in what we buy and also try to make sure that we're having a better mix of our trucks and SUVs that those are in higher demand and those push it up as well. 
Operator: Our next question comes from the line of John Rowan from Janney. 
John Rowan: Just to go -- you guys talked a lot about the decline in delinquencies, but when I look at the overall contract term, including modifications, it's up quite a bit. I'm curious how much modifications affected the delinquency level. 
Jeffrey Williams: Modifications were up a little bit this year's fourth quarter compared to last, which is not a bad thing. That means that we're working with people on tax time payments and getting them right on some accounts, so -- but it was up just a little bit this year compared to last. But again, that should not be a negative as we go forward because those folks are here working with us and getting those contracts back current. 
John Rowan: Now when you modify an account, is it considered a TDR and then reserved at a higher level? 
Jeffrey Williams: No, we're not -- all we're doing is maybe extending a little bit of time on the contract. There's no expectation that we'll collect any less. In fact, the modification is done so that the customer can stay in that car and get back current with us. So there's no TDR treatment on that. 
John Rowan: Okay. And then before you repossess a car, are you doing any field calls? 
William Henderson: Pardon? 
John Rowan: Do you guys do any field calls before you repossess a car on a delinquent account? 
William Henderson: Yes, we do. 
John Rowan: You are doing field calls. And then just last on the payments. So you're raising the interest rate. The duration is up. I'm curious, from the customer standpoint, how that affects the monthly payment. Obviously, you'll make more money because you're earning a higher interest rate over a longer tenure. But how does that affect the point of sale and the monthly payment that the consumer is expected to make? 
Jeffrey Williams: It's about $10 a month more on a payment. 
John Rowan: Okay. And you don't think it's going to -- you don't think it'll affect your volume? 
Jeffrey Williams: Well, now, with the competitive market out there, there's been a recent competitor indirect [ph] that's decided to wind down the business. And if we have to think that everybody's pricing is going to have to go up a little bit at some point. So this should not be a negative. I think our product offering is looking better and better each day. And as competition adjusts and maybe we look even better than that, but we don't think that the $10 a month is going to be a big negative for us compared to the competitive offerings. 
Operator: Our next question comes from the line of Brian Hollenden from Sidoti. 
Brian Hollenden: Can you expand on your press release comments? What specific terms are competitors offering that are enticing some of your good customers to default? 
William Henderson: I would say, in general, it's the length. In some cases, we're seeing some of the same type vehicles that we would finance out there for 30 months being put on terms with interest rates in excess of 20% and over 60 months on the financing and we just don't feel like that's practical. It's enticing because if you can -- when the math works out, they can get a little bit lower payment. And also in some cases, it might be a vehicle that's a little bit newer than what they've been able to buy before. But when we see that financing going 60 and 67 months and that sort of thing, we just don't feel like that's practical for those vehicles. 
Brian Hollenden: So in your experience, how long can these unsustainable deal structures offered by your competitors go on for? 
William Henderson: Well, apparently my experience is inadequate in there because I would have thought it would have already kind of seen more of a hiccup. But I think they're just -- as these things age, we're going to see more back. I want to tell you, anecdotally, going back to a question, I think J.R. asked earlier, about the sales. When I speak with some of our managers that have been around a long time, and we did see a bit of a sales pickup, I think some of those -- what I'm hearing, and again this is anecdotal and not a huge part of it, but they're hearing that -- well, some customers are coming back to us because they recognize that, that face-to-face relationship right there -- we're dealing with people in so many cases who are living paycheck to paycheck, and there will be events, job changes, repair issues, personal issues, so forth. And I think they realize there is a lot of benefit in having someone to go sit down with face to face and work them through this so they can keep their cars. So we might be seeing a few customers return to us. And that's the sentiment of some of our older managers. 
Jeffrey Williams: And I think the first time we mentioned indirect lenders as competition was maybe July of '12. And that's kind of when it first started. So -- and it ramped up after that. So we're just now getting to the point where some of those deals might start showing some rocks, or maybe already have. But we've not seen a cycle like this before with these long terms weigh [ph] down in our markets. 
William Henderson: I would add, too. I think there was one component left off when you asked about these deals. Again, we in -- we just had our big year end meeting that we do every year in May, so we had our managers in and speaking with them. And a lot of them saw some payoffs from some new car dealers where they're aware that there's some negative equity being stacked on some of these notes in addition. So I would add that on top of earlier comments. That's something we do not do. We don't even -- we want to save a great customer and all that, we'll find another way because we just don't believe that when we're selling used cars that stacking negative equity on these loans is a wise thing to do. But right now, it appears to be a common practice with some of the financing that's going on out there. 
Brian Hollenden: Just one final question. You closed 4 smaller dealerships in the quarter. Do you plan on closing additional dealerships in the current environment? 
William Henderson: I will tell you we do have a few on the watch list. We don't have any plan for that right now. Every store out there, we've got plans in place to make them profitable. But this is obviously, anytime you're growing a company, something that you'll have to -- that we have to review. Three of the 4 stores that we closed had been small satellite locations. They were in close proximity to existing stores. We didn't really have the capacity to -- we didn't feel like they'd ever get to the volume levels that we would really like. So we thought it was more efficient to merge those in that they were located close to some of the existing stores. 
Operator: [Operator Instructions] Our next question comes from the line of Neema Termalu [ph] from Blackfold [ph]. 
Unknown Analyst: I just wanted to get some color on the store closings. I noticed that some of them were in some areas where there's a lot of back fall from the oil crisis that had happened. How much of that crisis is kind of affecting net charge-offs? Was it kind of a regional thing? Or was it store-wide, across all of your stores? 
Jeffrey Williams: No. We've seen maybe just a little bit of a negative effect in the oil areas. That was not the main reason for these closings. We've had some chronic issues with performance, and these were such size, being smaller, that we really didn't see much long-term potential there. But we had seen some slight upticks in certain areas maybe indirectly related to the oil situation, but that was not the main driver of these closings. 
Operator: Our next question comes from the line of Samir Patel from Askeladden Capital. 
Samir Patel: So first guys, as a hypothetical, let's say that the current competitive environment in subprime credit is the new normal until the end of time. If that were to be the case, what kind of returns on equity do you think you can maintain? And can you bridge me to how you get there? I mean, I know there's a lot of different drivers at the lower profitability between credit losses and repair costs and fixed cost leverage and interest rates and so on, and I want to make sure that I'm understanding the relative impact of each. 
Jeffrey Williams: Yes. Well if this environment doesn't change and this is the new normal, then we certainly feel like we have room for a few points on gross margin and a few points on credit losses. And we wouldn't be satisfied with anything less than a 10% return on equity. And that's with no changes in the industry and us just getting better internally. So we do still feel strongly that we will get some relief. We don't expect credit losses to go back to 2010 levels of 20%, but we're really pushing hard to be heading in that direction and maybe we'll get half way back there. And if we do a better job with the blocking and tackling internally, we think there's a real reason for us to exist in these small towns. Our customers need us. And we should certainly be earning a 10% return on equity as a minimum. 
Samir Patel: Got you. Okay. Second, on the interest rate move from 15% to 16.5%, can you remind me why you all charge a fixed rate rather than some kind of variable credit scoring approach? And also on that, I know you have a lot of business with repeat customers. Do they get discounts or anything? Or is it just 100% fixed, everyone pays the same? 
William Henderson: It is 100% fixed across the board, as that is how we've always done it. And it does get very, very difficult with our market to really begin to get that sophisticated with the store and we feel like it's a fair offering. And again that the fact that all the deals we do are below market, we feel like it's a fair, reasonable rate. 
Samir Patel: Okay, got it. If I can sneak in just one more. Jeff, I think last time we spoke, you were seeing positive initial results with moving on your ad spend from legacy media to digital. Any update on that? 
William Henderson: No, it continues in process. I think we're still learning. It's new to us. It's a good question because we just had that conversation here yesterday. We're -- one of the things we do feel we like about it is we get a lot more feedback and information of how our commercials are actually viewed and our ads are seen and the clicks and all that. So I think, over time, it will help us more efficiently measure the bang for our buck. That's always been a problem with traditional advertising in the past is we really have a difficult time sometimes quantifying the difference that, that makes. So not really -- can't -- it's still early in the process. But I do think, over time, we're going to gain a lot of efficiencies with it. 
Jeffrey Williams: In this business, the biggest factor in sales success is how you react to a customer on your dealership. And we've got a lot of good things in place to track a lot of traffic and repeat customers and getting that inventory mix where it needs to be. And there's a lot of things going into sales execution at the lot level to supplement the advertising. But I think the current quarter results are indicative of there -- there's no shortage in demand for what Car-Mart does out there on the sales side. And we're going to continue to tweak things as we go forward. But a big part of our success on sales is that execution at the point that customer is on that -- on our dealerships looking for transportation. 
William Henderson: And along with it, and hopefully, we'll be able to get a little smarter in how we use our digital media. I think it does provide a little more opportunity for the type of ads that you can do for a little bit more education of the customers out there. And I think there's a cycle that we'll go through. And this was, again, the sentiment of a lot of our tenured managers, that there's kind of an education going on out there of the customer base. And many of them have signed up for these very long-term deals without a local presence to go to. I think they are beginning to realize that it may not have been quite as attractive a deal as they thought. So I think we are going to cycle through some of that and get some of our customers back. 
Samir Patel: Got you. Just one final question, sorry. Just kind of circling back to the second one. Do you guys actually see any difference in delinquency rates or charge-offs between repeat customers and kind of de novo customers? 
Jeffrey Williams: Yes, we do. There's certainly a better credit performance from repeat customers. We know them and they've had some experience with us. So there's certainly a nice benefit on the credit loss side from a repeat customer versus a first-time customer. 
William Henderson: And it shows up certainly -- and this is something that over -- throughout the years is we're able to roll back in with our customers. We do see some significantly lower losses on some of our older stores with the more tenured managers. And of course, they've got more experience and better customer service and all that. But there is a big benefit from rolling those back in. And it's -- and we also feel like it's one of the greatest ways we can measure our own performance, when people want to come back to us, so it's [indiscernible] 
Samir Patel: And that's about 1/4 of your business, right? Repeat customers. 
William Henderson: A little higher than that, actually. If measured as a percentage of sales, it's closer to the 40% range, I'd say. 
Operator: And this does conclude the question-and-answer session of today's program. I'd like to hand the program back to Hank Henderson. 
William Henderson: All right. Well we thank you all for joining us today and thank you for your questions. And we will get back to work and hopefully, we're going to see some better results next time we talk. So you all have a great day. Thank you. 
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.